Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fourth Quarter Year End Financial Results Conference Call. At this time all participants are in a listen-mode. Later, we will conduct the question-and-answer session, instructions. Instructions will be given at that time [Operator Instructions]. As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your Chief Financial Officer, Mr. Steven Nicola. Please go ahead sir.
Steven Nicola: Thank you, Marybeth. Good morning. I’m Steven Nicola, Chief Financial Officer of Matthews. Also on the call this morning is Joe Bartolacci, our Company’s President and CEO. Today’s conference call has been scheduled for one hour and will be available for replay later this morning. To access the replay, dial 1-320-365-3844, and enter the access code 405604. The replay will be available until 11:59 PM, December 02, 2016. We have posted on our Web site, which is www.matw.com, the fourth quarter earnings release and financial information we will discuss this morning. On the top of our home page under the Investor tab, click on Investor News to access the earnings release. For the quarterly financial data, click on Financial Reports to access the information under the section, Matthews International Quarterly Reports. The documents are presented in a PDF file format. Before beginning the discussion, at the advice of legal counsel, I have been advised to read the following disclaimer that pertains to forward-looking statements. Any forward-looking statements in connection with this discussion are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks and uncertainties that may cause the Company’s actual results in future periods to be materially different from management’s expectations. Although the Company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove correct. Factors that could cause the Company’s results to differ from those discussed today are set forth in the Company’s annual report on Form 10-K and other periodic filings with the SEC. To begin the conference, I’ll review the financial results for the quarter. Joe will then provide general comments on our operations. Following that, we will open the discussion for questions. For the quarter ended September 30, 2016, the Company reported earnings of $0.74 per share compared to $0.51 per share a year ago. Consolidated sales for the fiscal 2016 fourth quarter were $377 million compared to $368 million last year. Consolidated operating profit for the quarter ended September 30, 2016 was $39.7 million compared to $32.8 million a year ago. The increase in consolidated sales primarily reflected the impact of the acquisition of Aurora Casket Company, Aurora in August last year. Higher cemetery memorial product sales volume and sales growth in the UK and Asia markets for the SGK brand solutions segment. Changes in foreign currency exchange rates had an unfavorable impact of $3.5 million on the consolidated fourth quarter sales compared to last year. The increase in consolidated operating profit for the quarter primarily reflected the consolidated sales growth and the impacts of the realization of acquisition integration synergies, productivity improvements and lower commodity costs. Operating profit for both periods was impacted by acquisition integration costs. In addition, the current year reflected an increase in intangible amortization resulting from the Aurora acquisition. For the fiscal year ended September 30, 2016 consolidated sales were $1.48 billion, representing an increase of $45 million compared to last fiscal year. Similar to the fourth quarter, the increase primarily reflected the impact of Aurora, higher cemetery memorial product sales volume, and an increase in sales in the UK and Asia Pacific brand markets. Changes in foreign currency exchange rates had an unfavorable impact of $25 million on fiscal year 2016 consolidated sales compared to last year. For the fiscal year ended September 30, 2016 consolidated operating profit was $118.8 million compared to $105 million last year. The increase for the current year primarily reflected higher sales and the impacts of the realization of acquisition integration synergies, productivity improvements, and lower commodity costs. Operating profit for both periods was impacted by acquisition integration costs. In addition, the current year reflected an increase in intangible amortization from the Aurora acquisition. Last year's operating profit included a $4.8 million write-off of certain intangible assets, and the benefit of $9 million net gain on a litigation settlement in the Memorialization segment. Consolidated adjusted EBITDA for the quarter ended September 30, 2016 was $69.5 million compared to $61.7 million a year ago. For the fiscal year ended September 30, 2016 consolidated adjusted EBITDA was approximately $240 million compared to $216 million last year. The increase is resulted primarily from higher sales, the realization of acquisition integration synergies, productivity improvements and lower commodity costs. A reconciliation of adjusted EBITDA was provided in our press release yesterday, and is included in the quarterly financial data posted to our Web site. On a non-GAAP basis, the Company's adjusted earnings per share were $1.08 for the current quarter compared to $0.93 a year ago, representing an increase of 16.1%. The net amount of the non-GAAP adjustments for the fiscal 2016 fourth quarter was $0.34 per share compared to $0.42 per share for the same quarter a year ago. As we anticipated, a significant portion of the 2016 non-GAAP adjustments, included costs and other charges in connection with the integrations of the acquisitions of Shark Inc. or SGK and Aurora. In our earnings release yesterday, which is posted on our Web site, we included a reconciliation between GAAP and non-GAAP earnings per share. In the fourth fiscal quarter a year ago, non-GAAP adjustments affecting consolidated operating profit primarily included Aurora acquisition costs, SGK integration related costs and other charges. Year-to-date operating profit a year ago also included the benefit of the litigation settlement in our Memorialization segment, the favorable impact of the settlement of a pension plan installment payment obligation and the write-off of certain intangible assets of the SGK brand solutions segment. Sales for the SGK brand solutions segment was $193.7 million for the current quarter compared to $200.7 million for the same quarter a year ago. The segment reported sales growth in its UK and Asia markets, which were offset by lower sales in North America and Europe due to continued slow brand market conditions. In addition, currency rate changes had an unfavorable impact of $3.4 million on the segment sales for the quarter, compared to a year ago. The segment sales for the fiscal year ended September 30, 2016 was $756 million compared to $798 million last year. Currency rate changes had an unfavorable impact of $21 million on the segment's current year sales compared to last year. The SGK brand solutions segment reported operating profit of $16.8 million for the current quarter compared to $16.3 million for the same quarter a year ago. Charges related to the acquisition integration and other cost reduction initiatives were $6.3 million for the current quarter compared to $7.2 million last year. The quarter-over-quarter increase in operating profit, excluding these charges, primarily related to the realization of acquisition synergies and other cost reductions. For the full fiscal year, the segment's operating profit was $42.9 million in 2016 compared to $21.9 million last year. Charges in connection with the acquisition integration and other cost reduction initiatives were $25 million for the current year compared to $39.5 million last year. Memorialization segment sales for the fiscal 2016 fourth quarter were $152 million compared to $136 million for the same quarter a year ago. The increase primarily resulted from the acquisition of Aurora, and higher cemetery memorials products sales volume. Caskets sales volume, excluding the impact of the Aurora acquisition, was also slightly higher during the current quarter. For the fiscal year ended September 30, 2016, Memorialization segment sales were $610 million compared to $508 million last fiscal year. Aurora contributed incremental sales of approximately $113 million for the current year. In addition, cemetery memorial products sales volume was higher. Casket sales were lower for the fiscal year, primarily reflecting a decline in U.S. casketed deaths. Operating profit for the Memorialization segment for the fiscal 2016 fourth quarter was $20.2 million compared to $12.7 million for the same quarter a year ago. The increase primarily reflected higher sales, productivity initiatives and lower commodity costs. Operating profit for the Memorialization segment for the year ended September 30, 2016 was $68.3 million compared to $70.1 million last year. The current year included acquisition integration charges and the prior year included a gain from the settlement of litigation. Excluding these items, current year operating profit was higher as a result of sales growth, productivity initiatives, and lower commodity cost. Operating profit for this segment also reflected intangible amortization expense of $1.2 million for the current quarter compared to approximately $800,000 for the same quarter last year. For the full fiscal year, this intangible amortization expense was $4.9 million in 2016 compared to $2.1 million last year. The significant increases resulted from the incremental amortization in connection with the Aurora acquisition. The industrial technology segment reported sales of $31 million for the quarter ended September 30, 2016 compared to $31.7 million for the same quarter last year. The segment reported sales of $114.3 million for the fiscal year ended September 30, 2016 compared to $119.7 million last year. Lower sales in the fulfillment systems market were a significant factor in the changes. As we noted last quarter, this segment had a particularly strong quarter and strong year in fulfillment sales last year; and as a result, presented a challenging comparable for the current year. In addition, as we started to see earlier this fiscal year, the segment's principle markets have been generally reflecting slower market conditions. Operating profit for the industrial technology segment was $2.7 million for the current quarter, compared to $3.7 million for the same quarter last year, primarily reflecting the sales change. The segment’s operating profit for the year end September 30, 2016, was $7.7 million compared to $13.1 million last year, primarily reflecting lower sales an unfavorable change in product mix. Our fiscal 2016 fourth quarter consolidated adjusted EBITDA as a percent of sales was 18.4% compared to 16.7% a year ago. Consolidated adjusted EBITDA for the fiscal year ended September 30, 2016 was 16.2% of sales compared to 15.1% a year ago. The adjusted EBITDA margin improvements primarily reflected the impact of acquisition synergies and other cost reduction initiatives. A summary of operating results by segment, including non-GAAP adjustments for the quarter and fiscal year-to-date periods, are posted on our Web site for your reference. Gross margin for the quarter ended September 30, 2016 was 38.9% of sales compared to 38.4% a year ago. Gross margin for the year ended September 30, 2016 was 37.6% of sales compared to 37.1% a year ago. The benefits of productivity improvements and other cost reduction initiatives, and lower commodity costs, contributed to the year-over-year improvement in gross margin percentages. Selling and administrative expense for the current quarter was 28.4% of sales compared to 29.5% for the same quarter last year. The decline primarily resulted from synergy realization and a reduction in acquisition integration costs. For the year ended September 30, 2016, selling and administrative expense was 29.6% of sales compared to 29.8% last year. The reduction primarily reflected synergy realization and lower acquisition integration costs, offset partially by incremental intangible amortization expense related to the Aurora acquisition. In addition, last year's percentage included the impacts of the intangible asset write-off and the net gain from the litigation settlement. Investment income for the fiscal 2016 fourth quarter was $601,000 compared to a loss of $856,000 a year ago. For the full fiscal year,m investment income was $2.1 million for the 2016 compared to $175,000 last year. The year-over-year changes represent investment performance on assets held in trust for certain of the Company's benefit plans. Interest expense for the current quarter was $6.2 million compared to $5.5 million for the same quarter last year. Interest expense for the year ended September 30, 2016 was $24.3 million compared to $20.6 million a year ago. The increase is resulted primarily from additional borrowings in connection with the Aurora acquisition. Other income deductions net for the fiscal 2016 fourth quarter was a net deduction of $692,000 compared to $1.4 million a year ago. The fourth quarter a year ago included cost related to a test identified last year. Other income deductions net for the year ended September 30, 2016 represented a deduction of $1.3 million compared to income of $5.1 million a year ago. The prior year amount included the favorable impact of a settlement of a pension plan and installment payment obligation. The Company’s effective income tax rate for the fiscal year ended September 30, 2016 was 30.5% of pre-tax income. This rate reflects certain favorable tax benefits and utilization of certain tax attributes specific to the current year. The effective tax rate was 29.4% excluding for the fiscal year ended September 30, 2015. The effective tax rate for the fiscal 2015 included the benefit of the utilization of certain tax attributes, resulting from organizational restructuring. At September 30, 2016, the Company's consolidated cash was $55.7 million compared to $72.2 million at September 30, 2015. Accounts receivable at the end of the current fiscal year was approximately $295 million compared to $284 million last year. Consolidated inventories at September 30, 2016 were $162 million compared to $171 million at September 30, 2015. Long-term debt at the end of the current fiscal year, including the current portion approximated $873 million compared to $903 million at September 30, 2015. Despite borrowings in connection with the repurchase in May 2016 of a portion of the shares held by several Shark family members, and a $15 million contribution to the Company's pension plan in September 2016 consolidated outstanding debt was reduced by $30 million during fiscal 2016 as a result of the Company's continued strong cash flow. Outstanding borrowings on the Company's domestic credit facility at September 30, 2016 were approximately $855 million. Total borrowing capacity on its facility was increased to $1.15 billion in fiscal 2016, $250 million of which is in the form of an amortizing term loan. The facility has a maturity date in April 2021. Additionally, as we previously disclosed, we received a claim in September 2014 seeking the draw upon a letter of credit issued by the Company of £8.6 million with respect to a performance guarantee on a project for a customers in Saudi Arabia. We assess the customer's claim to be without merit and accordingly initiated an action with the court. Pursuant to this action, a court order was issued in January 2015, requiring that upon receipt by the customer the funds were to be remitted by the customer to the court pending resolution of the dispute between the parties. As a result, the Company made payment on the draw to the financial institution for the letter of credit and the funds were ultimately received by the customer. The customer did not remit the funds to the court as ordered. On June 14, 2016, the court ruled completely in favor of Matthews following a trial on the merits. However, as the customer has not yet honored this court order and remitted the funds, it is possible the resolution of this matter could have an unfavorable impact on Mathews' results of operations. The Company had 32.1 million shares outstanding at September 30, 2016. For fiscal 2016, the Company purchased approximately 1,132,000 shares under its share repurchase program at a cost of $58 million. This includes the purchase in May 2016 of 970,000 shares held by several Shark family members. At the end of the current quarter approximately 2 million shares remained under the current share repurchase authorization. Depreciation and amortization expense for the quarter and fiscal year ended September 30, 2016 was $16.2 million and $65.5 million respectively, compared to $15.5 million and $62.6 million respectively a year ago. Capital expenditures for the quarter and year ended September 30, 2016, were $9 million and $41.7 million respectively compared to $13.6 million and $48.3 million respectively a year ago. Finally, the Board yesterday declared a dividend of $0.17 per share on the Company's common stock, representing an increase of 13.3% over the previous dividend rate. The dividend is payable December 12, 2016 to stockholders of record November 28, 2016. This concludes the financial review, and Joe will now comment on our operations.
Joe Bartolacci: Thank you, Steve. Good morning. Thanks to the strong efforts in several of our businesses; we finished fiscal 2016 very positively, ending with another record for earnings per share. During the fourth quarter, we continued to deliver strong synergy capture; raised our synergy expectations on both of our recent acquisitions; saw good growth in our cemetery products division; improved cost structure, thanks to several strategic initiatives; and contained costs in markets where our revenue was challenged. All of these efforts have allowed us to exceed market expectation for the quarter and the full year. Regarding our Aurora acquisition; the integration continues to go very well with expected synergies continuing to grow; good management practices has allowed us to take over $9 million out of inventory during the year; and we expect that trend to continue as we consolidate warehouses and align on a common product line. We are excited about the synergies that are scheduled to be delivered in 2017, which is a large part of our anticipated year-over-year growth. Much of our efforts during 2016 were mitigated by early dis-synergies and lower death rates. As death rates normalized, perhaps in 2017, we should see significant improvement in our results. Our hats go off to the combined integration teams who're handling tremendous stress from numerous projects with great professionalism and confidence. With regard to our brand business, our SGK integration continues to go well and is in the final stages. As I mentioned in our last call, we still have to implement our ERP solution in our legacy Matthews brand businesses in Europe, and we still have a piece of the ERP implementation in the legacy SGK, which will help with order entry, job tracking and filed management. Both of these remaining projects will be ongoing throughout 2017 and into early 2018; and would help drive the remaining synergies left to be achieved on this acquisition. As I mention in the past, we have completed much of the integration spending as it relates to SGK. Therefore, our integration costs will come down significantly during 2017. We still have significant integration costs related to the Aurora integration yet to be incurred, and we expect our peak to be in 2017. Therefore, as we move in to fiscal 2018, our GAAP and non-GAAP earnings should be much more aligned, and result in stronger cash flows as transaction related expenses wane. During the year, we repurchased approximately 1.1 million shares as part of our goal to return our outstanding shares to pre-acquisition levels. Although, we do not expect to repurchase as many shares during 2017, we will return to the market if we see opportunities. Also, as committed, we repaid the entire purchase price of the $50 million for the shares that we acquired from the Shark family in late second quarter. From another positive perspective, during fiscal 2016, our operating cash flow was $140 million. This strong cash flow has allowed us to gain -- to again raise our annual dividend by 13% to $0.68 per share. We are pleased to note that we have almost doubled our dividend rate in the last five years, while making gross debt repayments of over $400 million. We believe this to be a very positive sign of our discipline and our desire to returning capital to our shareholders. Our industrial technologies group finished the difficult year where prior year comparables were challenging, especially in our fulfillment business. Still the team continued to deliver solid equipment sales driven by recent product launches as our new products continue to gain acceptance throughout the markets. As you are aware, we are spending significantly on development of yet another new product with R&D spending in this segment of over $4 million during 2016. As we approach completion of the development phase of our new project, we expect 2017 to be our highest R&D spend on this project with total spending approaching $7 million. Looking at 2017, we remain confident in our ability to achieve our goals, including the amount of synergies that we expect to realize. In overachieving expectations for 2016, we saw an acceleration of synergies and a few projects being pulled forward; thus, possibly taking away from 2017. Moreover, we remain cautious giving uncertainty around expected death rates, sluggish North American and European brand markets, currency fluctuations and commodity headwinds. Nonetheless, we remain pleased with the direction of all of our businesses and the investments that we have made. Therefore, assuming stability in the markets in which we operate, we expect our 2017 earnings to grow in the high single-digit range. With that, let's open it up for questions.
Steven Nicola: At this time, we will open the call to questions for those of you who'll be asking questions. We request that you limit them to one question and a follow-up question until all those who wish to participate in the Q&A session have had an opportunity to do so. Marybeth?
Operator: [Operator Instructions] And we'll go to the line of Mr. Daniel Moore from CJS Securities. Please go ahead.
Daniel Moore: So want to focus first on the Memorializations, can you break-out the organic growth between the casket side of the business and the memorial side, and what drove the uptick in improvement in memorials volume in the quarter?
Joe Bartolacci: Sure. I would tell you the best way to look at it Dan is that we saw consistent growth rates, actually a little bit of a decline on the organic volume rate for our funeral home products business, which is modestly ahead of the death rate that we see in the casket and burials. On the cemetery side of the products, we've done a great job. The team out there has gone back to several customers that we may have lost throughout that integration of the SAP that you all may recall; regained their confidence and regained their business. We've seen low to mid single digit growth in that business relative to the death rates when you take that into consideration. So we're very-very pleased with that. More importantly, if you recall we made a couple of investments in some smaller brand-up business with the expectation to expand that opportunity across the country. That business is performing very well relative to where it's been over the last several years. So, we think that business is on-track to be the kind of business that we can continue to invest in, and we hope to see more out of it.
Daniel Moore: Very helpful. Good to hear about the recapturing market shares. As we look out to ’17, it sounded in your prepared remarks a little bit of optimism around the death care side of the business. And I think we heard from one of our competitors, expected more of the same down low single digits for next year. So are you seeing anything that gives you confidence, that we could see a flattening, what are your expectations?
Joe Bartolacci: When we look forward, we anticipate what the Census Bureau has predicted going forward. We expect death rates over the next 20-years or so to grow at about 1.1% and 0.5% per year, much of that being consumed by burials, excuse me by cremations, so a relatively flat barrel rate. As you might expect, at this point and in history, what we’re seeing is a little bit of choppiness on that top 1% or 2% that’s going either way. We have a down year from a volume stand-point last year. Will that come back this year, we don’t know. But I can tell you what we do now is that, we given a relative stable base of burials, the synergies that remain to be captured in our Aurora business will give us the kind of growth we expect, plus some of the efforts on the cemetery side, both in granite and bronze, give us pretty good confidence. And unless the bottom falls out on us next year, we’ll be better than we were this year.
Daniel Moore: And just switching gears quickly to the shock side of the business, SGK side of the business. Any tangible evidence it's not dollar volume in terms of conversations around potential benefits for the Food Labeling act in ’17. And then another question as it relates to that; private label, the increased penetration in private labels. Is that part of the reason why we’ve seen kind of modest growth in U.S. and Europe, or is that not having as much of an impact?
Joe Bartolacci: I think it’s clearly having an impact. But let me answer your first question. Your first question with regard to FMLA, we are starting to hear conversations from our food providers that many of them are going to reformulation of their product first, before they go out and disclose exactly what is in it; so, there is improvements going into the formulations. Those are occurring as we speak. We’re starting to have conversations that some of this may start to hit in the second and third quarter of ’17. How much that is, we cannot tell. But we would tell you that with 2018 implementation date, we’re going to have to start to see some things coming on pretty soon. So we expect something, but I can’t give you a feel. We’re not anticipating big numbers in our forecast going into next year. With regard to private label, clearly I think there is a couple of things going on in there. And as we look at, what I would call zero based budgeting going forward for some of our CPGs as they try to understand what is the right level of marketing spend, what innovation do they need, what type of moments are going to private label versus, what needs to, be continue to invest in their brands. We’re seeing some of that sluggishness both in North America as well as in Europe. As we look forward though for brands to continue to be a value, there is going to be a need to continue to innovate and invest in those brands. So, we do think it’s cyclical. Where the new norm may be, may be lower than we might have hoped it to be. But for right now I would tell you that the sluggishness is driven by an intent on -- what CPGs re-understand what they really want to do with these brand, and how much they want to invest. 
Daniel Moore: Lastly not going to cover off the ball in terms of the other synergies, cost savings. What should we think about, just in terms of incremental synergies cost savings benefit in fiscal ’17 from here?
Steven Nicola: Dan, I would tell you that, I would tell you to think about it this way. We’ve got to inflationary costs that are going through. You’ve seen commodities, steel is going through the roof and copper, as you see what’s happening with copper as well. We expect our actual cost synergy to be somewhere between $12 million to $15 million that we’re going to capture. But some of that may be mitigated by some of the other sizes and things that are going through our P&Ls that are hard to control from our standpoint. So we think its $12 million to $15 million. We’re pretty confident we can achieve that. How much we get to bring to the bottom line is somewhat out of our control. But I think the important message Dan in that is not necessarily how much are we’re going to bring next year, we’re going to deliver on those synergies. We’re now too going into our third year of these integrations. For those of you that have been with us for a long time, you watched us go through some challenges with our ERP implementations, trying to get ourselves into to a position to able to do this. We appreciate you all sticking with us. But where we stand today is that we have both -- we have processes, we have teams and we have systems that will allow us to do this again. So we have delivered on the cost synergies as expected. We think we’ll do that again next year. But we’re positioning ourselves to do more over the future. So, I think that’s the real story that’s comes up out of this.
Operator: Thank you. And we’ll go to the next line of Jamie Clement from Macquarie. Please go ahead.
Jamie Clement: Joe, quick just follow-up to Dan's question, just before people get confused, you are still handling private label packaging design for a lot of customers though. It's not like you are not in the private label space, right, let's just make that clear, right?
Joe Bartolacci: Sure, we are in the retail space where a lot of private labels being done. We have some very large retail customers, both in North America and in Europe, so yes. But generally what we have seen Jamie is that private label manufacturers copy rather than necessarily go out and be innovative. So we’re doing the work probably at a lower level.
Jamie Clement: Well, hopefully they don’t hear, you saying that; anyway, moving on. So as we think about free cash flow next year, Steve, any kind of change in any significant way directionally to CapEx versus what you spent in '15 and '16 versus what you anticipate spending in '17?
Steven Nicola: Yes, I think CapEx will be a little bit higher next year as we continue with some of our EPR implementation; and, as we do some of the integration work in our Aurora business. So I do see it a little bit higher, maybe in the $45 million to $50 million range.
Jamie Clement: And as far as cash integration spending, restriction spending in that bucket, I was little unclear, because it sounded like that number might be coming down yet you do have certain projects that are in the works also to capture additional synergies. So I mean should the cash restructuring numbers, should that be coming down or should that be staying about the same?
Operator: Ladies and gentlemen, please standby, one moment. And ladies and gentlemen, we will resume the question-and-answer session at this time [Operator Instruction] Mr. Clement? We will go the next line of questioning Mr. David Stratton with Great Lakes Review. Please go ahead.
David Stratton: Looking at fiscal year '17, do you have any guidance around the tax rate in D&A? I think you just spoke about CapEx before everything got disconnected?
Joe Bartolacci: David, I expect the D&A to be -- maybe slightly higher next year, not much. And then what was the first piece of your question…
David Stratton: Tax rate.
Joe Bartolacci: Tax rate, I actually expect that -- let me explain the tax rate a little bit. This year's tax rate was a blend of what I’ll call standard effective tax rate and some items that were discreet to this year. So having said that, I would tell you next year's tax rate is somewhere -- excluding discreet, somewhere in the range of 31.5% to 32%.
David Stratton: And then when we look at the synergies that you’ve outlined, are you maintaining your expectations for the three year prospect? Or are those changing with what you’ve seen in the end of 2016 and going forward?
Joe Bartolacci: As we said earlier, David, our expected synergies continue to climb beyond what we had communicated early on, but many of those synergies will be out in the out-years closer to the end of third -- into the fourth year, and maybe into early fifth year as we move forward. But we'll have achieved what we originally communicated on the high-end of the range during the three year period we communicated.
David Stratton: And then really quick, because you talked about, you highlighted some product pull-forwards in the last year, and I guess maybe this quarter and not necessarily knowing what that'll shape up like in fiscal year '17. Can you just give a little extra color their about the timing and what we're looking at?
Joe Bartolacci: When you look at some of our businesses, brand in particular, but also on the fulfilment side, they're more episodic businesses that are project-based and whether those projects get repeated or not is a different question. Where some of the projects that were incurred in the last part of the fourth quarter, were anticipated to be delivered into the first quarter of 2017; so we had a little bit of pull-forward there. And we also got a little better synergy realization than we anticipated for the full year basis. So the total synergy rates did not change, maybe little earlier than expected by a quarter or two. So, we might expect a little lighter quarter than we’re originally forecasting for the first quarter of 2017, but on a full year basis in line with what we've always communicated.
David Stratton: And then finally, what was the dollar amount synergies you realized in fiscal '16? Are you willing to break that out for us?
Joe Bartolacci: Actually David I do not have a breakout of that in front of me, so I apologize.
Operator: Thank you. And next we'll go to the question line of Mr. Liam Burke with Wunderlich. Please go ahead.
Liam Burke: Joe, on the Aurora front, on the Aurora revenue side of the business, have you been able to maintain churn rates lower levels since you bought in Aurora under the umbrella?
Joe Bartolacci: Well, what we've said Liam, we anticipated early dis-synergies. We came in pretty much in line where that is. That has stabilized probably as of the end of the third quarter, and that's why you're not seeing the full benefits of some of the actions. And that's frankly one of the reasons why you're seeing it in our fourth quarter, because that stability has allowed us to see the benefit of the synergies more clearly. So I would tell you going forward from here, it's the normal churn of up and downs within the marketplace, win some lose some, but at the end of the day, we're pretty stable.
Liam Burke: And the fulfilments side of the industrial business. How does the contract pipeline look there?
Joe Bartolacci: Better than it did same time last year. Let's put it that way. Last year in the fourth quarter we were tailing into the end of a couple of nice projects that moved into the first quarter. So we might see a little bit lighter performance in our first quarter of 2017 there, but our pipeline is better. And we don't -- we're not at 2015 levels but it's early in the year.
Operator: Thank you. And next we'll go to a follow-up question from Mr. Jamie Clement. Please go ahead.
Jamie Clement: Joe, I'm sorry I got cut out there, I apologize for that.
Joe Bartolacci: Welcome back Jamie.
Jamie Clement: Joe, any comments on the acquisition pipeline; it sounds like with the system, the ERP system, implementation that sounds like it's in good shape. It seems like you have the capacity to potentially do something, that's significant. Obviously, we don't know what's out there. But can you give us a little flavor of what we might see in next 12 months or so?
Joe Bartolacci: Jamie, I would tell you that our integration teams are pretty well stretched right now. But we have, as you all have been with us for many years, you've seen a number of smaller deals that have come through the organization. And as you also might expect, we turned that valve-off about three years ago as we were going into planning for SGK. I would tell you that I wouldn't be surprised to see a number of smaller deals come through this year as we fulfil a couple of our pockets, whether it’d be product lines, whether it’d be geographies, whether it’d be additional products we want to offer. From a larger deals perspective, we got a lot of things we'd like to do. It takes two to tango. We're not going to overplay. So, we're confident we'll find another one. It's just a matter of when, probably not this year though.
Operator: Thank you. And we now go to a follow-up question from Mr. Daniel Moore. Please go ahead.
Daniel Moore: Thank you. I missed about a minute or two to call. Just did you talk about interest expense assumptions for fiscal '17?
Steven Nicola: No we did not talk about interest expense assumptions, Dan. But in our expectations for next year, we're not assuming a significant increase in our overall interest cost.
Daniel Moore: So Q4 is at reasonable run rate?
Steven Nicola: Yes, I would say so. When I say that, Dan, I expect that we will de-lever. But again, we've also seen some creep in interest for longer term interest rates. So again on balance, I just don't expect a significant change year-over-year at this point in time.
Joe Bartolacci: One thing that we have to do with interest rates Dan that is impacting us is the discount rate on our pension. So we're seeing an increase in our pension expenses, which is a non-cash expense that is impacting us. Hopefully, with interest rates starting to creep, we'll get that benefit in 2018.
Daniel Moore: And that was my last question, and just had going on in that direction, has been creeping up a little bit. Do you expect that to continue to creep in fiscal '17? And is there any point at which you would consider more significant funding, cash funding to try and bring that down?
Steven Nicola: Well Dan, so the interest -- the discount rates are set once a year at the end of September. So those have already been set. And so we won't have an opportunity to reset that until September of next year. With respect to impact on funding, we did because of the discount rates make a fairly sizable contribution, $15 million just a couple of months ago in September. Our expectation into next year is we'll still make a contribution, but much smaller. And with respect to where we stand in terms of required funding levels, required contributions, other than a smaller contribution, maybe mid-next year, that should be it in terms of what we're required to do. And if discount rates start to increase that actually should be beneficial in terms of required contributions.
Operator: And there are no further questions in the queue. I'll yield the conference back to you sir.
Joe Bartolacci: Thank you, Marybeth. Well, we appreciate everyone for participating in our conference call this morning. And we look forward to our next conference call in January for our first quarter earnings. Thank you and have a great day.